Operator: Greetings, and welcome to the Immunocore Holdings plc Conference Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note that this conference is being recorded. I will now turn the conference over to Morgan Morse, Investor Relations. Thank you, Morgan. You may begin.
Morgan Morse: Thank you, Daryl. Good morning, and good afternoon. Thank you for joining us on our Q4 and full year 2025 earnings call. During today's call, we will make forward-looking statements, which are qualified by our safe harbor provision under the Private Securities Litigation Reform Act of 1995. Please note that actual results can vary materially from those indicated by these forward-looking statements, including those discussed in our filings with the SEC. On today's call, I am joined by Dr. Bahija Jallal, CEO of Immunocore Holdings plc, who will share our 2025 overview and achievements; Ralph Torbay, Head of Commercial, who will review our Q4 and full-year KIMTRAK results; Mohammed M. Dar, our Chief Medical Officer, who will provide a pipeline update, including our ongoing registrational TEBE-AM in cutaneous melanoma and other highlights across our pipeline; and finally, Travis A. Coy, our CFO and Head of Corporate Development, who will provide some key highlights from our financial results reported earlier this morning. I will now turn the call to Dr. Bahija Jallal. Thank you, Morgan. Good morning and good afternoon, and thank you all for joining us.
Bahija Jallal: 2025 was a year of consistent execution across every part of our business. I am pleased to share our results, and where we are headed as we continue to deliver on our mission. For the year 2025, we generated $400,000,000 in net revenue from KIMTRAK, up over 29% from the prior year. KIMTRAK is now approved in 39 countries and launched in 30 markets. Growth continues to be driven by deeper U.S. community penetration and continued global expansion. Real-world duration of therapy is now 14 months, exceeding our clinical trials experience. Before KIMTRAK, patients with uveal melanoma diagnosis were given 12 months or less to live. Now with KIMTRAK, it is not unusual to see patients living three, four, five years or more. This is why we are here and this is why we come to work every day. But we are not stopping here. To reach even more patients, we are expanding the reach of KIMTRAK through a robust life cycle management program with two Phase 3 trials. TEBE-AM in second-line cutaneous melanoma enrollment on track for the 2026 completion. ATOM in adjuvant uveal melanoma enrolling across multiple sites in Europe and planning to open sites in the U.S. in 2026. This is, to our knowledge, the only active Phase 3 in this setting. Beyond KIMTRAK, we have our third Phase 3 trial—PRISM-MEL-301 with brenetafusp in first-line cutaneous melanoma. The IDMC has selected the 160 microgram dose, which is the highest dose, in last December. We are also expanding our own oncology platform beyond melanoma into ovarian and lung, colorectal cancer, and GI cancers. Mohammed will share more details later. And then beyond oncology, we presented promising data for our HIV functional cure program at CROI, and our hepatitis B candidate showed encouraging Phase 1 results at AASLD confirming the potential of our platform in infectious disease. In autoimmune diseases, we submitted the CTA for our type 1 diabetes program and expect to dose the first patient in Phase 1 in 2026. Our balance sheet remains strong at approximately $864,000,000 in cash, providing the flexibility to advance the pipeline. I will now ask Ralph to share more about our commercial performance. Ralph?
Ralph Torbay: Thank you, Bahija. Today, I will walk us through KIMTRAK’s full-year results and growth opportunities across melanoma. 2025 has been another year of strong commercial execution, marking this our fifteenth quarter of growth. KIMTRAK generated $400,000,000 in net revenues for the year, representing 29% year-on-year growth. The sustained performance reflects KIMTRAK’s position as a global standard of care in first-line metastatic uveal melanoma, with over 70% penetration across all major markets. This breadth of adoption is a testament to KIMTRAK’s transformative long-term impact, with one in four patients alive at three years, an unprecedented milestone in this disease. Mean duration of therapy remains an impressive 14 months as Bahija mentioned. Continuing the theme of KIMTRAK’s delivering exceptional, recently presented real-world data at ESMO IO from 150 patients showing a median overall survival of 28 months. We plan to build upon this data with U.S. real-world evidence to be published this year. We also expect to share the five-year overall survival from our registrational clinical trial which will further support KIMTRAK’s long-term benefit. Now as we enter our fifth year on the market, we expect moderating growth through continued commercial execution, further global expansion, and increased penetration in the U.S. community setting. Speaking of the community, KIMTRAK adoption is widespread, as evidenced by 70% of all KIMTRAK prescriptions coming from the community. Half of all patient starts happen in the community. And in 2025 alone, we activated 150 new accounts, most in the community. This broad adoption is important because it speaks to KIMTRAK’s value proposition of unprecedented survival and manageable safety. It also brings KIMTRAK closer to home for many patients who live in less dense geographic areas. Lastly, it creates a wide foundation for potential next indication: half of all patients with cutaneous melanoma are treated by physicians experienced with KIMTRAK. I am very excited by KIMTRAK’s midterm growth potential. Today, we are serving approximately 1,000 patients per year in metastatic uveal melanoma, which delivered $400,000,000 in net sales in 2025. When you look across the horizon, the opportunity is up to sixfold larger with our two Phase 3 life cycle management trials. The first one, TEBE-AM, the only randomized Phase 3 study in advanced melanoma with an overall survival endpoint, that could transform the lives of up to 4,000 patients. Second, ATOM, in adjuvant uveal melanoma that could help up to 1,000 additional patients. I am confident in our ability to execute on this growth trajectory. I am excited about what is ahead for KIMTRAK and the patients we serve. I will now hand over to Mohammed to discuss these trials in more detail, as well as our expanding pipeline.
Mohammed M. Dar: Thank you, Ralph. I am delighted to join this executive team and look forward to sharing the developments across our clinical programs. At Immunocore Holdings plc, we have built a truly unique and diversified TCR pipeline that now spans three therapeutic areas, and I am pleased to walk you through our progress today. Our R&D engine has delivered a robust portfolio anchored by three ongoing Phase 3 trials in oncology, with data readouts beginning as early as 2026 with TEBE-AM. Beyond our late-stage efforts, we look forward to new insights maturing this year across our early-stage oncology and infectious disease programs. In autoimmune, 2026 marks a pivotal milestone for us as we initiate our first clinical experience. I will now begin by highlighting our three registrational melanoma trials, starting with TEBE-AM. Our first opportunity is in advanced cutaneous melanoma, where there is a high unmet need. No therapy has been proven to extend survival in the second-plus cutaneous melanoma setting following checkpoint inhibitors and targeted therapy. One-year overall survival in this setting is approximately 55%. In first line, patients receive either anti-PD-1 with or without additional checkpoints, or BRAF-targeted therapy. In second line, patients can switch between these classes where appropriate. Beyond second line, there remains a large unmet need. Chemotherapy, retreatment with prior therapies, and clinical trials remain the primary options. The only new therapy approved in this setting is TIL therapy, which was based on response rates under accelerated approval, not overall survival. TEBE-AM is the first Phase 3 trial aiming to demonstrate an overall survival benefit, the gold standard in this population. If TEBE-AM is positive, KIMTRAK would be the first new therapy with overall survival benefit in the second-line-plus cutaneous melanoma setting. As a reminder, TEBE-AM is a randomized Phase 3 trial for melanoma patients who have progressed on checkpoints and, if applicable, targeted therapy. Patients are randomized to KIMTRAK monotherapy, KIMTRAK plus pembrolizumab, or a control arm, with a primary endpoint of overall survival. Our confidence in this program is supported by promising Phase 1b data showing a 75% one-year survival rate, compared to the 55% benchmark. Beyond efficacy, KIMTRAK is an off-the-shelf therapy with a predictable and manageable safety profile that is already familiar to the melanoma community. We remain on track and project to complete enrollment in 2026, with top-line data expected as early as the second half of this year. Now turning to our second registrational trial, ATOM is the only active registrational Phase 3 trial in the adjuvant uveal melanoma setting, where there is currently no approved standard of care. High-risk patients are randomized to either KIMTRAK or observation with recurrence-free survival as the primary endpoint. The study, sponsored by the EORTC, is currently activated across multiple European countries and is expected to begin site activations in the U.S. during 2026. Our goal is to bring the benefit of KIMTRAK to patients earlier, potentially delaying or even eliminating the onset of metastatic disease. As evidence of our robust R&D engine, we now turn to our third registrational opportunity within melanoma, this time leveraging our TCR targeting PRAME, known as brenetafusp. PRISM-MEL is a randomized Phase 3 trial in first-line cutaneous melanoma, comparing brenetafusp plus nivolumab versus either nivolumab monotherapy or Opdualag, with progression-free survival as the primary endpoint. In November 2025, in line with the FDA’s Project Optimus, the IDMC completed the dose selection process, choosing the highest dose to move forward. We have successfully activated over 200 sites globally and are targeting enrollment completion in 2027. I will now outline how we are strategically applying our platform to address a broader range of high unmet need tumor types. Beyond cutaneous melanoma, we are focused on expanding the PRAME franchise into other tumors, specifically ovarian and non-small cell lung cancer. In ovarian, we are building on the monotherapy activity observed in late-line settings by moving into earlier lines of treatment. This includes evaluating brenetafusp in combination with chemotherapy in platinum-resistant ovarian cancer, and in combination with bevacizumab in the platinum-sensitive maintenance setting. For lung cancer, our efforts are focused on signal detection across various combinations, including chemotherapy and osimertinib. We expect to present data from these ovarian and lung cohorts in the second half of 2026, which will inform next steps. In parallel, we are advancing our PRAME half-life–extended candidate, which is currently in dose escalation. Our hypothesis for this molecule is twofold: first, to provide patient convenience through less frequent dosing; and second, to potentially increase the overall response rate. We expect to have a comprehensive data package by 2026 to determine the optimal path forward for the franchise. The modular nature of our platform allows us to expand our reach beyond oncology and unlock significant growth opportunities in infectious disease and autoimmune. At CROI early last year, we presented initial data from 16 patients enrolled into the multiple-ascending-dose portion of our HIV study. The data were very well received by investigators, and two important findings emerged. First, the treatment was well tolerated. And second, we observed a dose-dependent antiviral effect. At the 60 microgram target dose, you can see that when we stop both our compound and the antiretroviral regimen, viral rebound occurs rapidly. However, at the 120 and 300 microgram target doses, we observe a delay in viral rebound—note the orange line—providing preliminary clinical evidence that we are impacting the viral reservoir, which is the critical first step toward achieving a functional cure. The clinical data gathered so far confirm the potential of our platform in infectious disease. We are continuing to evaluate higher doses in this study, and we expect to have data from the ongoing dose escalation in 2026. Now turning to our third and newest therapeutic area, our vision for treating autoimmunity is unique. We aim to achieve tissue-specific down-modulation of the immune system, thereby avoiding the risks associated with systemic immune suppression, which is the current approach taken in the field. We are currently advancing two autoimmune candidates. The first is S118I, which targets the beta cells in the pancreas in patients diagnosed with type 1 diabetes. The second is U120AI, which targets CD1a on Langerhans cells, specialized antigen-presenting cells in the skin, for the treatment of atopic dermatitis. Today, I am going to focus on our type 1 diabetes program, which represents the first clinical test of our tissue-tethered PD-1 agonist approach. We chose type 1 diabetes because of the profound unmet medical need, with 50,000 patients newly diagnosed every year, and data supporting the role of T cells as one of the key mediators of the disease. Our candidate S118I binds to preproinsulin, which is expressed exclusively on the beta cells of the pancreas. We have already generated compelling in vivo proof-of-concept data using pancreatic slices from human donors. We demonstrated that S118I binds specifically to beta cells, as shown in the middle panel, and successfully rescues them from T-cell–mediated killing, as seen in the graph on the far right. Importantly, these rescued beta cells remain functional and continue to secrete insulin. Following our CTA filing in December 2025, we are now poised to move into the clinic this year. Our Phase 1 study is designed to provide early evidence of target engagement and immune modulation. So to recap, we have a robust, diversified pipeline with important readouts later this year, and our R&D teams remain focused as we continue to advance our platform across all three therapeutic areas. I will now hand the call to Travis to discuss our financial results.
Travis A. Coy: Thank you, Mohammed. Good morning. Good afternoon, everyone. Earlier today, we released our financial results for the fourth quarter and year ended 2025. Please refer to the press release and our latest SEC filing on Form 10-K for our full financial results. Let me share some of our key financial highlights for 2025, and then touch upon our expectations for 2026. We are pleased to report strong performance for KIMTRAK, with full-year net sales reaching $400,000,000. This represents a 29% increase over 2024, with volume-driven growth across the U.S., Europe, and international regions. Looking ahead to 2026, as we enter KIMTRAK’s fifth year on the market with significant penetration across all major markets, we naturally expect growth to moderate. Our underlying sequential quarterly revenue growth has been in the range of 4% to 7% the last few quarters. We are seeing that growth slow down and expect that trend to continue in 2026. Moving from revenue to expenses, as we continue to maximize global access to KIMTRAK and advance our pipeline, our operating expenses increased. The increase in our R&D spend versus last year was primarily driven by ongoing investments in our three Phase 3 trials and by advancing our earlier-stage programs, including preparations to initiate clinical studies with our autoimmune candidates. In 2026, as we continue to invest in our pipeline, we expect R&D expenses to increase modestly year over year, although at a slower rate than they did in 2025. Turning to SG&A, 2025 expenses were marginally higher versus 2024, as we remain disciplined with the spending. In 2026, we expect only incremental increases to these investments, driven by commercial preparations for the potential expansion of KIMTRAK into cutaneous melanoma. Overall, we are pleased to have reduced our operating loss in 2025, as revenue grew more than our operating expenses. Our balance sheet remains exceptionally strong. As of year-end, we had $864,000,000 in cash and marketable securities, an increase of more than $40,000,000 versus last year. Our robust financial position combined with data-driven investments and expense discipline provides us with the flexibility and resources to continue advancing our mission of delivering transformative medicines to patients. I will now turn the call back to Bahija.
Bahija Jallal: Thank you, Travis, and thank you, team. Four years ago, we launched the first ever approved therapy for uveal melanoma. Today, we are a commercial-stage biotech with a validated platform, three Phase 3 trials, and we are expanding into infectious disease and autoimmunity. We are not just treating cancer; we are also redefining what is possible with T-cell receptor biology. 2025 was a year of execution, and 2026 will be a year of data and continued progress. We thank you all for your support, and now we will be happy to take your questions. Thank you.
Operator: Thank you. We will now open for questions. As a reminder, please ensure your handset is unmuted before pressing the star key. We ask that you please limit yourself to one question. Our first question comes from the line of Michael He with UBS. Please proceed with your question.
Michael He: Hey, guys. Good morning and congrats on all the progress. I have a quick question on TEBE-AM. I think that is a really exciting opportunity and the data is coming soon. Can you remind me the general geographic breakdown of your enrollment? Is it half U.S. or Europe, etc., etc.? Because I think there are much more limited agents outside the U.S. that could impact the control arm. And secondly, you are designed to test KIMTRAK and also KIMTRAK plus PD-1. Did you go through a DSMB analysis or a look to test that KIMTRAK alone is probably doing at least as good as the combo? And what insight did you have on that? Thank you.
Bahija Jallal: Great. Mohammed, do you want to take that?
Mohammed M. Dar: Sure. Thanks, Michael, for the questions. With regards to enrollment on TEBE-AM, the majority of our enrollment is coming from Europe, you know, in line with other recently completed pivotal trials. We expect between 10–15% from the U.S. and then the rest from the remaining countries. With regards to your question around DSMB and whether we had them look at activity within mono versus combo, as you recall, the original TEBE design was a Phase 2/3 design. Based on enrollment metrics, we converted it all into a Phase 3 seamless single consolidated trial design. We never looked at the data, nor did the IDMC. So this is based purely on enrollment metrics, and as a result, we saved one year in terms of the conduct of the Phase 3 trial.
Michael He: Got it. Thank you.
Operator: Our next question comes from the line of Tyler Van Buren with TD Cowen. Please proceed with your question.
Tyler Van Buren: Hey, guys, good morning. Thanks for taking the question. Just another on TEBE-AM given how important the readout is in the second half—can you just remind us what both treatment arms are powered for on overall survival and what you believe the likelihood is that the monotherapy arm, in addition to TEBE plus pembro combination, could succeed?
Mohammed M. Dar: This is Mohammed. Hey. Thank you for the question, Tyler. So with regards to the, you know, the statistical assumptions, we usually do not get into the details, but it is fair to say that we have designed the study to basically meet both the statistically significant and clinically meaningful threshold difference from the control, and that, you know, in my experience, on average, that is at least a 30% difference from the control. With regards to, you know, assumptions between mono and combo, again, we typically do not get into, like, you know, our details of the statistical plan, but needless to say, our data from 02/2001 was based on combos. So, certainly, logic would support the combo may outperform the mono. But, you know, that is what I can say.
Operator: Thank you. Our next question comes from the line of Eric Schmidt with Cantor Fitzgerald. Please proceed with your question.
Eric Schmidt: Thanks for taking my question. Maybe to switch gears a little bit toward Ralph and Travis. It feels like we have been talking about or guiding to deceleration in KIMTRAK sales for years now, yet growth has been pretty robust as you guys called out—25-ish plus percent year on year. I hear you, Travis, that you are thinking that quarterly growth rate is going to come down from 4% to 7%. Do you have a value in mind that you think is realistic that is substantially less than 25%?
Travis A. Coy: Yeah. Thanks for the question. Obviously, we are pleased that we continue to overperform, so we are excited about that. And, you know, we are now entering the fifth year on the market, so we do naturally expect that growth to begin to moderate with significant penetration across all major markets, both U.S. and Europe. You know, one thing to keep in mind, that year-on-year growth of 29%, we did have some rebate reserves in 2024 and in 2025. If you normalize for those rebate reserves, our underlying growth was around 20%. So I just offer that up as a reminder to folks so you have a little bit better understanding of where we expect growth to moderate from.
Eric Schmidt: Thank you. And I see you operated around cash flow breakeven in 2025. Is that a reasonable estimate for 2026?
Travis A. Coy: Yeah. We, you know, we continue to focus on investment in our three Phase 3s, and so we do expect R&D expenses to modestly increase into 2026 from 2025. And then from an SG&A perspective, we have been really pleased with how well we have managed those expenses and continue to be disciplined on that front. We have been very consistent, really, over 2024 and 2025 around that $40,000,000 mark per quarter, and only expect incremental increases into 2026 as we prepare for cutaneous melanoma.
Operator: Thank you very much. Our next question comes from the line of Jack Allen with Baird. Please proceed with your question.
Jack Allen: Great. Thanks for taking the questions, and congrats to the team on the updates. I wanted to ask a little bit on the commercial outlook. Pending positive results in the TEBE-AM study, I wanted to ask the team how they thought about pricing in that indication. I know you have a very meaningful price in metastatic uveal melanoma, which is a rarer space. Do you think about the larger second-line cutaneous melanoma market and any impact on price moving forward there, having a launch into that indication?
Bahija Jallal: Thank you.
Ralph Torbay: Thanks, Jack, for the good question. So when you consider the unmet need that exists today in advanced melanoma and the fact that we have a Phase 3 with an overall survival endpoint, and the fact that we have an established safety and this is an off-the-shelf treatment, really, if the data is positive—and this is all data-dependent—we believe that, you know, we can potentially defend that price appropriately given the OS endpoint. Of course, data-dependent.
Jack Allen: Alright. Thanks for the color.
Operator: Our next question comes from the line of Sean M. Laaman with Morgan Stanley. Please proceed with your question.
Sean M. Laaman: Good morning, everyone. Hope everyone is well, and thank you for taking my question. I have a question on your autoimmune entry. So first candidate entering Phase 1 in 2026. How do you evaluate success in the early autoimmune studies relative to oncology benchmarks and how capital intensive could the platform become? Thank you.
Bahija Jallal: So thank you for this question. I will take that. You know, we chose type 1 diabetes for the reasons that we can determine very early on two questions that we will answer right away: you know, does the drug bind the target? And we will look at that with the soluble PD-1, for instance, and other things—C-peptide that we can measure. And the second is, you know, we do have the surrogate as once we have the dose, we can measure that, and that is a surrogate for efficacy. So we can find out basically early on if this has the potential to be active or not. And that is really the reasoning before we engage into big Phase 2b’s or something like that.
Sean M. Laaman: Wonderful. Thank you.
Operator: Our next question comes from the line of Jonathan Chang with Leerink. Please proceed with your question.
Jonathan Chang: Half—
Ralph Torbay: So this is a great foundation upon which we will build. In addition to that, the team is very well trained, has executed recently in the launch, and has a track record of successful launches. So all of this together will lead into, I think, a good—data-dependent, of course—potential launch. A strong medical team. I think this is following with the science.
Jonathan Chang: Got it. Thank—
Operator: Thank you. Our next question comes from the line of Graig Suvannavejh with Mizuho Securities. Please proceed with your question.
Graig Suvannavejh: Thanks for taking my question and congrats on the progress. I was curious about your PRAME portfolio. You have got several different programs going on there. And I am wondering, you have got a lot of combinations for lung cancer and also ovarian cancer. I am wondering what are the different scenarios that we could see coming out when we get that data update in the second half? Would you be willing to share if you would be advancing potentially two assets if you had good data, or is the view that there is going to be one asset coming out of that pipeline review? Any color there on how you are thinking about what the outcome could be of that update in the second half?
Bahija Jallal: Yeah. Before I leave it to Mohammed, I will just say this is a typical, you know, Phase 1 exploration, Phase 1b that we are doing, especially when you know that the target is validated. And I think to just address a lot of questions in the early phase before engaging in a late phase, at least when it comes out of melanoma. But, Mohammed, do you want to comment?
Mohammed M. Dar: Sure. Thanks, Graig, for the question. Look, I think we are in a unique position where we have been in the clinic with brenetafusp for several years, and we have now enrolled several hundred patients. So we are certainly mining that data, which will help guide next steps for the brenetafusp program. But in addition, as Bahija mentioned, we have the PRAME HLE trial that is ongoing, and so we are going to be in a good position by the end of year to look at the totality of the data to guide us with regards to next steps. It just provides us optionality, basically.
Operator: Our next question comes from the line of Rajan Sharma with Goldman Sachs. Please proceed with your question.
Rajan Sharma: My question—just one on the HIV program that we are expecting an update for later this year. Could you just maybe frame expectations there in terms of number of patients that we should expect that dataset to be in? And maybe if you could just talk to how high you think you can push the dose there? Thank you.
Bahija Jallal: Yeah. Mohammed, do you want to take that?
Mohammed M. Dar: Thanks, Rajan, for the question. Just as a reminder, obviously, the HIV trial is in the multiple-ascending-dose portion. We shared data last year that showed early dose-dependent effects. So we are continuing to escalate. It is still a Phase 1 dose escalation, so cohorts are, you know, small sizes, but we anticipate by the end of this year to be able to identify the right dose and look at the impact on the viral reservoir as well as the viral rebound. The other part of the study is that we can trigger an expansion based on the data that we see, and so that can allow us to build on any signals we see during dose escalation.
Operator: Our next question comes from the line of Fesel Khorshed with Jefferies. Please proceed with your question.
Fesel Khorshed: Hi, guys. Thank you for taking the question. I just wanted to ask how are you thinking about the upcoming competitor readout in frontline uveal from IDEAYA? I understand it is HLA negative, but do you think their positive uveal could be any read-through or any impact to your stronghold in frontline HLA? Thank you.
Bahija Jallal: Charles, do you want to take it?
Ralph Torbay: Sure. Faisal, thank you for the question. So look, we need to see some randomized Phase 3 data from the competitor. Currently, we have seen only 42 patients, with 11 of those patients being HLA-A*02:01 positive. What I will be personally looking for, in addition to response rate, of course, is the hazard ratio because standard of care has evolved since the beginning of that trial, and the safety, because small molecules can have tolerability challenges we have seen in other indications. So those are the two points that I will be looking for in the data readout.
Bahija Jallal: And we are very much confident that KIMTRAK is standard of care with very robust data not only from the clinical trials, but also from the real-world evidence, and we will bring a five-year evidence basically that is extending life of patients.
Fesel Khorshed: Great. Thank you.
Operator: Our next question comes from the line of James John Shin with Deutsche Bank. Please proceed with your question.
James John Shin: One for Mohammed. I want to follow up on the TEBE-AM question on geographic breakdown. Can you lay out the percentage mix in the control arm, as in what percent may be on TILs versus recycled PD-1s, and whether that mix may impact historic OS levels? Thank you.
Mohammed M. Dar: Yeah. Thanks, James, for the question. No, it is a really important question. It is one that we have obviously been thinking about throughout the context of the study. What I can tell you is that we have looked at recent real-world data, and that confirms our original assumptions that about a third of the patients likely in the control arm will get retreated with checkpoint. Those that are BRAF mutant typically get retreated with a BRAF-based regimen, and then the remaining are treated with chemotherapy or clinical trial, reflecting the high unmet need and the lack of an accepted standard. In terms of TILs, to your question, as I mentioned in my original response to Michael, majority of the patients are being enrolled in Europe where TILs are not approved. And so, you know, I think we remain confident in the original assumptions of our trial with regards to control.
Operator: Our next question comes from the line of Paul Jeng with Guggenheim Securities. Please proceed with your question.
Paul Jeng: Oh, great. Thanks for taking the question. I wanted to ask about the second-line cutaneous melanoma opportunity for KIMTRAK and how you view the evolving landscape maybe two to three years down the road where there could be some other therapies on the market, including for the HLA-positive segment. What do you sort of see KIMTRAK fitting into that paradigm in the future? Are there any factors like patient baseline characteristics or sites of care that could drive more utilization for KIMTRAK versus some of those competing therapies? Thank you.
Bahija Jallal: Oh, okay. Sorry. Oh, I can start. Of course, Mohammed, you can add to this.
Ralph Torbay: So currently, the only approved therapy in that line of treatment is TILs, and, of course, that is highly selective of patients because of the entire process that patients have to undergo through. Similarly, you mentioned the HLA-A*02–positive TCR-T. That is also a highly selective patient population, and,of course, you know, KIMTRAK will have an OS endpoint. Right? Keep in mind TILs and the TCR-T will have response rate, potentially PFS endpoints. We will have an overall survival endpoint, which is the gold standard in that indication. And importantly, we are off the shelf, have also long-term safety—safety already in melanoma patients, obviously uveal melanoma—and, importantly, we have a great base of experience. We have half of the cutaneous melanoma patients being treated in centers that are experienced with KIMTRAK. So all this together, I think, gives us a significant leg up in this setting.
Mohammed M. Dar: Yeah. The only other thing I would add is that, ultimately, it is good for patients who, you know, in a setting where there is high unmet need and no options, it is good for patients to have options. Ultimately, I think what drives physician choices is the data. And so, as Ralph mentioned, our trial is a randomized Phase 3 trial looking at OS, which is the gold standard, and so I think, you know, the data will drive ultimate practice.
Operator: Our next question comes from the line of Eva Forte with Wells Fargo. Please proceed with your question.
Eva Forte: Good morning. Thanks for taking our question and congrats on the progress. A quick one from us just on brenetafusp. What do you need to see in the upcoming ovarian and lung readout to move forward in development? Are you looking for anything specific in terms of efficacy? Thanks.
Bahija Jallal: Well, I am—anyway. I am sure.
Mohammed M. Dar: Thanks, Eva, for the question. So, you know, as I mentioned earlier, we have been in the clinic for now a number of years and treated several hundred patients. We already have seen a clear signal of activity in ovarian. We shared that data in 2024 at ESMO, but there obviously was not a clear line of sight for monotherapy accelerated approval. So we pivoted to earlier lines—the maintenance setting—which we believe plays to the strength of the platform, which is disease control and a very favorable safety profile. So the data that we are planning to share will be predominantly safety cohorts. It is smaller than the monotherapy data we shared earlier, but focused on safety and potentially early signals in this maintenance setting. Lung, we are still signal searching. This is a heterogeneous population, and so the data that we are planning to share will include a dataset that is similar to what we have shared with ovarian and melanoma, but it is across multiple heterogeneous subsets. And then, of course, we have safety cohorts looking at chemo combo and osimertinib. Ultimately, Eva, what I would say is that it is going to be the totality of the data, and then in addition, we have the PRAME HLE. So we will look at the total data to help guide our next steps.
Operator: Our next question comes from the line of Romy O'Connor with Van Lanschot Kempen. Please proceed with your question.
Romy O'Connor: Hi, team. Thank you for taking my question. Maybe just backing onto Eva’s here, focusing on the half-life–extended PRAME. I just want to ask if you can point us to what we need to see here to inform any major changes to the PRAME program in totality. You mentioned convenience and improved response. Should we be benchmarking this against what brenetafusp has already shown? Thank you.
Bahija Jallal: Great question. Mohammed?
Mohammed M. Dar: Thanks, Romy, for that question. Yeah, exactly. I mean, you know, as we said, we are in a very good position where we have our brenetafusp data and essentially PRAME HLE is brenetafusp with the Fc added on. And so we are doing the right experiment in the clinic asking those two basic questions, and based on the data, it will provide us optionality in terms of which molecule to carry forward in which setting.
Bahija Jallal: Yeah. I think when we started it was really to look at convenience because, you know, we see with KIMTRAK with short half-life an amazing hazard ratio of 0.551. Now I think, you know, with other data there, if we see also an increase in ORR or something like that, then I think that is what Mohammed was talking about. He is looking at the totality of the data, and then we will determine, you know, the next steps. But we will do the experiments, and we will get the data.
Romy O'Connor: Great. Thank you.
Operator: Our next question comes from the line of Patrick Trucchio with H.C. Wainwright. Please proceed with your question.
Patrick Trucchio: Thanks. Good morning. Just a couple of follow-ups on TEBE-AM. I am just wondering, given the OS primary endpoint, what would the assumed median OS in the control arm be, and has anything in the real-world evolution of the treatment landscape changed that assumption since trial initiation? And then just separately, just regarding the timing of the data as early as second half 2026, maybe you can give us an idea of what the event assumptions are driving that, and the probability that the data perhaps slips into 2027?
Bahija Jallal: Okay. I will take the second part, and then Mohammed will take the first part. So because it is an OS endpoint, it is event-driven. So we will have a little bit better idea maybe when the trial is done, but it is going to depend on the events. That is why, you know, just doing the calculation that we did and the assumptions, we see it today as as early as the second half of 2026. So we will get a little bit better once we finish the trial and, depending on the events. But, Mohammed, do you want to take the first part?
Mohammed M. Dar: Sure. Thanks for the question, Patrick. So with regards to OS assumptions for the control arm in TEBE, the assumptions we made at the start of the trial really have not changed because, ultimately, there has been no randomized trial that has actually established an improvement in survival in this setting. So those assumptions essentially were a median overall survival between—
Patrick Trucchio: Great. Thanks so much.
Operator: We have reached the end of our question-and-answer session. With that, I would like to turn the floor back over to Morgan Morse for any closing comments.
Morgan Morse: Thank you for joining us today. We appreciate all of your support.
Bahija Jallal: Thank you.
Operator: Thank you, ladies and gentlemen. This does now conclude today’s teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.